Operator: Good morning, everyone, and thank you for participating in today’s conference call to discuss BBSI’s Financial Results for the Second Quarter Ended September 30, 2013. Joining us today are BBSI’s President and CEO, Mr. Michael Elich, and the company’s CFO, Mr. Jim Miller. Following their remarks, we will open the call for your questions. Before we go any further, I would like to take a moment to read the company’s Safe Harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements. The company’s remarks during today’s conference call may include forward-looking statements. These statements, along with other information presented that are not historical facts, are subject to a number of risks and uncertainties. Actual results may differ materially from those implied by these forward-looking statements. Please refer to the company’s recent earnings release and to the company’s quarterly and annual reports filed with the Securities and Exchange Commission for more information about the risks and uncertainties that could cause actual results to differ. I would like to remind everyone that this call will be available for a replay through November 30, 2013, starting at 3 o’clock pm Eastern Time this afternoon. A webcast replay will also be available via the link provided in today’s press release, as well as available on the company’s website at www.barrettbusiness.com. Now, I would like to turn the call over to the Chief Financial Officer of BBSI, Mr. Jim Miller. Sir, please go ahead.
James Miller: Thank you, Lilly. And depending upon where you are dialing in from good morning or afternoon everyone. As you saw the close of the market yesterday, we issued a press release announcing our financial results for the third quarter ended September 30, 2013. During the third quarter gross revenues grew by more than 30% for seven consecutive quarter and were the highest in the company’s history by nearly $90 million. We continue to mature BBSI’s brand in the marketplace complemented by our strong referral channel, helping to drive new business as well as healthy organic growth from our existing client base. Our three tier partnership platform and operational focus also continues to drive our industry leading 90 plus percent retention rate. While we are pleased with the quarter’s strong results, it is important to note that we continue to reinvest in our company to ultimately support a much larger and more mature organization. Before taking you through financial results, I would like to mention that yesterday’s earnings release summarizes our revenues and cost revenues on a net revenue basis as required by generally accepted accounting principles or GAAP. Most of our comments today, however, will be based upon gross revenues and various relationship to gross revenues because we believe such information is one more informative as to the level of our business activity; two, more useful in managing and analyzing our operation; and three, add more transparency to the trends within our business. Comments related to gross revenue just compared to a net revenue basis of reporting have no effect on gross margin dollar, SG&A expenses or net income. Now, turning to the third quarter’s results, total gross revenues increased 37% to $754.1 million over the third quarter of 2012. California which comprise approximately 88% of our overall third quarter gross revenues increased 38% due to continued growth in our PEO business and to increase organic growth from existing customers. Overall PEO gross revenues increased 38% to $722.4 million over the third quarter of last year primarily due to the addition of new clients, as PEO business from new customers nearly tripled our lost PEO business from former customers as compared to the third quarter of 2012 which follows a similar trend we experienced over the last seven quarters. Additionally during the third quarter, we experienced double-digit growth in PEO revenues in all of our geographic region. Our PEO revenues from existing customers increased approximately 13% year-over-year due to increases in both headcount and hours worked. This compares to a 12% increase experienced during the second quarter of 2013 and 4% year-over-year increase in the third quarter of 2012. Staffing revenues for the third quarter of 2013 increased 15% to $41.7 million primarily due to an increase in new business as staffing business from existing customers was only slightly up. On a percentage basis, gross margin for the third quarter was 4% that’s compared to 3.9% for the third quarter of 2012. The key components of the third quarter’s gross margin are as follows; direct payroll cost as a percentage of gross revenues in the third quarter decreased 20 basis points to 84.2% compared to 84.4% in the same quarter last year due to increases in the overall client mark-up percentages as a result of price increases experienced primarily during the last 18 months. Workers compensation expense as a percentage of gross revenues was 4.2%, which represents a 10 basis point increase over the same quarter a year ago primarily due to an increase in the provision for estimated workers comp claim cost and to higher referral commission. Looking ahead to the fourth quarter of 2013, we anticipate the level of gross revenues for workers comp expense to continue in the 4.2% to 4.3% range. Payroll taxes and benefits as a percentage of gross revenues for the third quarter were 7.6% compared to 7.7% of gross revenues in the 2012 quarter, as the effective payroll tax rates were slightly lower than the third quarter of 2013. SG&A expenses increased 32% to $15.8 million compared to $12.7 million in the third quarter of 2012, primarily due to higher branch incentive pay based upon increased branch performance, increases in management payroll, another variable expense components within SG&A to support a continued business growth. The provision for income taxes in the third quarter was $4 million, which represented a tax rate of approximately 30.6%. We expect such a rate to continue for the fourth quarter of 2013. The tax rate for the third quarter came in more favorable and comparison to first two quarters of 2013 primarily due to higher [indiscernible] tax credit earned by the company than originally projected. For the third quarter 2013, net income increased 55% to $9 million, compared to net income of $5.8 million in the same period last year. Diluted earnings per share in the third quarter of 2013 increased to 49% to $0.121 compared to $0.81 per diluted share in the year ago quarter. Now, turning to the balance sheet at September 30, as you recall during the second quarter of 2013, we posted $63.9 million in restricted certificate of deposit to collateralize the letter of credit issued to satisfy an increased surety requirement for our self-insured workers’ compensation program in the State of California. As a result of posting this $63.9 million in restricted certificates of deposits, as of September 30, 2013, our cash, cash equivalents and marketable securities totaled $48 million compared to $72.4 million at December 31, 2012. We are currently in the process of replacing the $63.9 million letter of credit with surety bond which once replaced will significantly reduce the amount of the restricted certificate of deposit required in collateral. We expect this replacement to be completed during 2013 fourth quarter. Of the $48 million of cash, cash equivalents and marketable securities at September 30, 2013, approximately $17 million is unencumbered or set another way not part of our captive insurance subsidiary. At September 30, 2013, we have no outstanding borrowings on our revolving credit facility. Our expectation is that we will remain out of the line for rest of 2013 as cash will continue to build from operations. We generated approximately $47.2 million in operating cash flow during the first nine months of 2013. Much of our cash generated from operations is in the form of free cash flow expect further building workers compensation safety incentives liabilities as cash used to fund our insurance subsidiaries is primarily generated from the workers compensation expense we recognized, but do not immediately payout to the third parties. During the period of growth, our free cash flow will tend to be in line or exceed our net income on an annual basis. Now, turning to our outlook for the fourth quarter of 2013, we are expecting gross revenues to grow at least 30% to a range between $780 million and $790 million compared to $596.7 million in the fourth quarter of 2012. The projected increase of 2013 fourth quarter gross revenues is based upon our recent revenue trends. We expect diluted income for common share to increase at least 43% to a range between above 15 and above 20 compared to $0.80 in the fourth quarter of 2012. We continue to be very enthusiastic about the momentum in our financial results over the first nine months of the year and I look forward to addressing you again on our fourth quarter earnings call. Now, I would like to turn the call over to the President and CEO of BBSI, Mike Elich, who will comment further on the recently completed third quarter and our outlook for the fourth quarter of 2013. Mike?
Michael Elich: Good morning. And what to just say, I appreciate your continued -- taking time and joining us on the call and also your continued efforts to understand what we are about, we’re trying to accomplish. Very pleased with another successful quarter. We continue to see build in our -- in both increases in existing client and build and also our clients adding customers, overall very pleased with how we’re running as a company and how we continue to build and mature for the future. In the quarter, we had at a 167 new client, we lost 47 clients three due to accounts receivable, 14 are accountable for non-accounts receivables risk or tier development related issues, 15 businesses sold, 7 left on their own due to pricing, two took payroll in-house, three left to work with competitors and three for other reasons. We see the new net of 120 new clients as in the quarter as a strong -- very strong and key to continue build on our base to clients as we continue to maintain a 95 plus retention rate while at the same time expanding margin. We continue to see strength within our existing client base with increases in hiring and hours worked, 43% of our clients added headcounts in the quarter, 30% reduced headcounts and 27% were unchanged. We did see 50% of our client increase hours, hours worked -- while 48% of our clients reduced hours worked within the same-store sales. In comparison to the second quarter, we saw 50% of our clients increased hours worked versus 57% in the second quarter. We did see some chop in our September data as there may have been a slight pull back due to uncertainty related to budget issues and debt dealing issues with Federal government but we think we – but the things seem to have leveled off in the last couple of weeks and everything seems to be back on track. Overall, we continue to see strong momentum across all regions. In the fourth quarter, excuse me, in the quarter, all regions saw a growth rate anywhere from 22% up in the Northwest to 41% in the Southern California. We continue to see a strong diversification in the type of business we are bringing on with -- which remains primarily blue and grey color mix. We continue to see larger client prospect coming into the pipeline, but at this point we still have no client, it is larger than 1% of our total business and are not being shipped in client mix. Our primary obstacle to growth has been maintaining our capacity while we built out in front of demand; we continue to make significant progress in the areas, in this area this year but we’ll continue to invest in infrastructure to support the integrity of our product. With that said our pipelines remain very strong as our brand continues to mature and chip within local markets, while we maintain a large, a strong 95% plus retention rate with our existing clients, while expanding where it seems to be no measurable headwind from a competitive landscape. We continue to make progress in maturing management systems to recognize outliers within our client, so we can focus resources more proactively as we also continue to mature our branch within branch structure or business unit structures as they support clients. To date, we have 30 business unit or branch within branches. In the quarter, we added five new business unit teams and we have five new business teams currently in development forecasted in the next 12 months, we have an additional 20 business unit teams on the books at least at this moment. We completed our conversion of our HRP data platform payroll system in the quarter; this is the big step this process started in early February that has been in the works for the past few years. The new data system provides for additional scalability of operational systems, more client flexibility, more robust platform for data structure and expanded interface capabilities to support client data access over time. We have begun our move into phase II of the process which would begin to offer areas of increased efficiency and expand use of our systems capabilities. In the quarter, we also continued to build on areas that matured our overall brand by bringing alignment of our organizational culture with the development of our product as we grow and add head count. We continue to be -- this continues to be a key focus as we continue to invest resources back into the organizational alignment and development while growing at 30% plus. Overall, we continue to maintain a strong pipeline with new business while retaining a healthy client base. We continue to see the quality of our client base maturing, while actively vetting those plans that do not make sense for the company or may compromise the integrity of our business offering. We continue -- we remain ahead of plan in aligning the organization to support our growth curve and we’ll continue to make necessary investments into infrastructure to stay out front of our growth curve. As we continue to make significant progress addressing the issues related to California Senate Bill 863, we are to a point of narrowing our option -- our original three options to two options and expect to have a solution in the next couple of months related to the issue and also will begin to implement our new solution at the start of 2014. Of the options, we’ve mentioned previously ranging from licensing our wholly-owned subsidiary insurance company in California to working with existing license carriers, we feel these options when combined will position us to remain relatively cost neutral to the current model other than some allocated to capital on our balance sheet for collateral. The key steps to this point are, to finalize decisions pertaining to our best option for the company overall and long-term financially and for long-term stability while implementing other platforms without market disruption. Given that the new law change -- the changes [ph] stem from self-insurance does not take affect until 1/1/15, we are well up in front of the challenge, the change excuse me. Lastly, as always, we continue to look internally to infrastructure, to support growth again while gaining efficiency in branch operations with corporate support functions, all efforts continue to focus towards strengthening and maturing the organizational product offering. With that, we’ll open it to questions.
Operator: Thank you, sir. We will now begin the question-and-answer session. (Operator Instructions) Our first question comes from the line of Jeff Martin with ROTH Capital Partners. Please go ahead.
Jeff Martin – ROTH Capital Partners: And nice to see another good quarter and now wanted to congratulate on the earnings call but congratulation.
Michael Elich: Thank you.
Jeff Martin – ROTH Capital Partners: Mike, can you -- the client pipeline if you’re seeing any changes favorably or unfavorably in terms of lease, in terms of future opportunity if you think that it looks like in the net client adds were down a little bit year-over-year which is break year-over-year positive trend going back quite a ways just, was curious if you think that is tied to budget uncertainty, government shutdown, people kind of taking their foot off the accelerator a little bit on a temporary basis, that would be helpful.
Michael Elich: Yes, our pipelines and in fact it’s always hard to tell the psychology of the market changing relative to different things, the government shutdown cluster, our debt sealing and everything. But we did see a little bit of a pull back in September or if nothing else just maybe the foot come off the accelerator tiny bit. But we did see a regain of momentum in October. It could have just been the way the week fall actually or it could be just how the weather was in August that we just didn’t get quite as much done. But for the most part, we are not seeing a change in our pipeline, if anything, our overall pipeline and our client added becoming more broad base. If you go back by two years ago, we were probably getting 80% of our new client add, 90% of our new client add from 10% of our branch operation, today is probably 80% of our client adds they’re coming from 50% of our branch operation. So I would probably say that given that the market and the product, we used to get tighter and cleaner and we continue to do things that mature and we were bringing clients in which means that the bill cycle may even be a little longer now because we’re slowing the process to the point that it reduces the depictional cost of operations once we add them. All those seems to be a little bit of a transitional point for us but for the most part our -- we are not seeing any change in the overall pipeline in fact of anything [indiscernible] ever been.
Jeff Martin – ROTH Capital Partners: And then, you mentioned about the growth in the business unit, pretty significant increases, that was five added in the quarter, five in development and then an additional 20 so, a combined 30 or is that a combined 20 over the next 12 months?
Michael Elich: I would say probably again working process and then you have projection so, they kind of blend. I would say probably another 25 in the next 12 months. But one thing that you have to be careful of is, if we have business unit structure base San Diego, they – Orange, kind of a lot them in California branches. We already have established business unit. So the new business units are coming from is going to be the restructure of a existing businesses -- existing branches as they do from branches that have applied to full fledge business units. So we’ll add maybe one person or two people in a branch, they like, able to take a Sacramento, where we’ll add one person to a team that is already there that will now formalize it into a business unit. So you have some of that going on and then you also have in the queue where mature business unit or branches are actually building 4 teams which is a 4 person team. So you have a combination -- seems like there is a lot of add but realistically there is probably out of the 25, maybe 15 of those are going to be a transition of how that overall branch ran in a local market from being a single branch, two big branches within branches. And then you have of the other channel that maybe remaining its going to be building this additional capacity within our work branches.
Jeff Martin – ROTH Capital Partners: Okay. And then, could you touch on a growth rate of the business, I mean obviously you can’t grow 37% in a quarter year-over-year forever. How would you like people to think about the growth rate, it obviously should normalize in couple of several point, but it seems like they have got at least a couple more quarters where you’re going to see 30% growth, just wanted to give you an opportunity that kind of frame [indiscernible] what kind of growth outlook to look back?
Michael Elich: We look at it internally. One of the things that we had to do is backup a little bit. One of the ways that we’ve always look at growth and tried to forecast growth was to look at our current run rate by day and then look at that extrapolated as it builds throughout each month into a quarter which gets us our guide. What we found is though as that we’re getting more choppiness in that and it makes it very difficult to look out year, two years, three years and try to gauge aware -- where will that existing growth or additional growth come from. So one of the things that we’ve actually done in the quarter and this is still -- we’re still learning an experiment a little bit with this methodology. But just to break it into two bucket. If you take your first bucket and you look at, our existing base of client and assume that you’re not going to have any kind of run off of that base that it will be relatively stable and you say that you can get maybe a 10% same-store sales from that base. So if you look at -- we’re kind of running up to in the year of about $2.8 billion. 10% in the future year would be another, we will just roughly make it – we will round it up a little bit the $300 million. And if you put that up against the 2.8, it gives you at least a portion of the growth that you look back extra from same-store sales. Then what you to do is, as the second base, as you look at your client build and if you assume that your clients are coming in at a certain size then you’ll look at how many clients you are adding and then you layer that up against your existing base and you say all right. That’s going to take me up by 10%. What we found by doing that, as we look at 10% same-store sales and we look at a bill pay in the next year of, or even 500 to 600 new clients in that which we’re up in front of that number and each client came in at another basically $1 million in run. Now, it depends on timing of how much revenue, you actually recognize in that year but that’s a one way to extrapolate forward is the growth rate that we’re seeing sustainable and one of the things that we -- as we did the math and we keep running that out, the real driver is, how light our base is right now and the impact of same-store sales. In the quarter, I think we got 13% same-store sales growth. So, even at 10%, you’re somewhat modest and so if you take 10-plus a pretty nominal or modest build of existing client -- net building of the existing client, the 30% is actually fairly manageable going out and as we look to capacity utilization and our business unit and our teams that how we are maturing the organization and some addition to the system and then the minimal real market penetration we have. I don't know when it will start to normalize. I know that we’re trying to run the company today that 30% to 35% range and we’ll continue to do that. So we run up against something that says that we can’t do it. But right now, I’m probably as optimistic as I’ve ever been about our ability to continue to run the company as we have been.
Operator: (Operator Instructions) Our next question comes from the line of Josh Vogel with Sidoti & Co. Please go ahead.
Josh Vogel – Sidoti & Co.: I had a question about margins, I know staffing business is higher margins and they are starting to pick up but based on the business mix today and the waiting of the PEO work, can you talk about what are the primary levers to remain focused on that will move margins higher. And also maybe you could talk to where do you see peak margins getting to the cycle, I know you’re at 2% plus operating margin of the growth revenue when the staffing business was like 15% to 20% of revenue. So, where do you see peak margins getting to the cycle?
Michael Elich: We have run up against such a large base that’s going to be hard moving a whole lot further where you will see a flow through is going to be on your net operating margin which is going to be a product of capacity up against operating overheads over time. We started increasing pricing back in early 2012. We’ve basically made a full turn and we’ll finish a full turn of that and we continue to price at higher basis, right now then we have been over the last couple of years. So we’ll continue to see some incremental increase of overall gross margin but operating margin as where you’ll see more flow through is we continue to want to mature of business unit and ultimately refine some of the technology that allows us to be more effective and more efficient internally. Right now, growing at 30% we’re probably operating at maybe 50% to 60% utilization of capacity within the organization as we either normalize or find more efficient ways to do what we do, we’ll then start to increase the amount of capacity we can use at the existing operations but those are going to be the drivers. It’s hard to say all right now, given the model of maybe an expansion of -- from an operating basis maybe 10 bps a year even it’s start to lever the business pretty well and but it's hard. We're still maturing as an organization. We've grown up a lot in the last three years and obviously we have a key individual in our organization and we've been around a long-long time. But at the same time we're kind of a new company over the last three to five years and as we're growing into our model, one of the things that I worry about is that we've stressed it too hard to get to our long-term target too quick.
Josh Vogel – Sidoti & Co.: Okay, that's helpful. Thank you. Looking geographically, do you see any markets out there that have a similar profile or fit to California where you see potential big opportunities and would it be easier for you to build out or make an acquisition and if it is the latter, can you talk about the acquisition pipeline?
Michael Elich: We continue to see acquisitions that we're probably two-three a month, and I feel -- worse that you're culturally made for an organization to acquire somebody and bring them into the fold would be in a lot of ways a complete re-work. So I'm not going to say that we wouldn’t look at a small tuck-in at some point in a small market where we knew that we could commit resources to get that operation to work, needed to be, to be able to work within our infrastructure. But, I still think that the best mode of growth for us is going to be organic build, as our clients and referral networks continue to expand and drag us to new market. Interesting enough, we've started to see an uptick in the amount of fees, the amount of mountain fees overall, we're up 32% in the quarter. We've seen a significant growth in, on the East Coast. With the East Coast was up 36% almost 37% year-over-year in the quarter. And those markets show us that we can grow and penetrate and be everything we are in California and other markets. Interesting enough as well, one of our fastest growing markets is in Idaho Falls. And I predict that it'll probably be the first branch, I shouldn't tell him that because able to kind of beat us just a little bit, he's a good guy. But he's going to – he will probably that branch itself will probably be the first operation outside of California that will hit a $100 million, and there's no economic benefit to doing business with us in Idaho Falls other than we have to deliver a great product.
Josh Vogel – Sidoti & Co.: Okay. And switching over, you had comments about the decline in pipeline and you were talking about larger clients or larger potential clients entering the pipeline. I was wondering if you could just talk about the dialog you're having with these larger clients. Are they doing this work in-house or are they doing it with an ADP or pay checks and your dialog with them, why would they come to you, were you maybe [indiscernible] see pricing, can you just talk to that?
Michael Elich: As the clients get bigger, you will always find economies of scale and I was going to depend on where they are trying to take the organization. As we continue to mature our products in our models, its less and less of what we do and more and more about of the results we can offer. If you think of small business owner that started with an idea and they grew and whether they were good, they are lucky, they reached a certain point in their business, where they reached an inflexion point of either efficiencies or disruption in their business as a result to be an employer. They got to solve those problems. And as much as you liked to say 20 to 30 employees if you reach that inflexion point and you cleaned up everything and the business started running cleaner because you figured certain things out. Once you grow and take the next turn at the wheel, you probably going to have to reinvent yourself again at 50 to 70 employees. And then if you make it through that you are going to get to 200 employees and you are going to have to reinvent yourself there and that’s a continuous cycle. And so we entered the equation at any point along that continuum and it really comes down to what that business owner and what that organization considers important within what they are trying to accomplish and what they are experiencing and where we find that we can build value through an open dialog. What we do find is, is what bigger clients that we maybe talking to them for a longer period of time. They’re typically going to be using some kind of payroll companies, be it an ADP, be it pay check be it but that’s all they are getting. They are just getting payroll. And what’s they are doing from an HR standpoint is maybe being out run because it is what really needs to happen as it needs – the overall organizational structuring has to be built more around that HR platform but more of a management platform that helps supervisors to management more effectively allocate resources through the learning organization. So the evolution of our model and the evolution of business both come together in the – we are dialoging with our clients today about how we look to their future and how we begin to come in and follow process through them that allows them to either scale their organization bring stability to their organization or if nothing else just give the honorary day off.
Josh Vogel – Sidoti & Co.: Okay. That’s really helpful. Thank you. And just lastly, I missed it, how many total branches did you end the quarter with?
Michael Elich: We have 51 branches and then we have 31 operating business units which or the branches within branch. We have five in development at the moment. We are – I will go back to my note. And we are looking to [indiscernible] another 20 next year.
Josh Vogel – Sidoti & Co.: Great.
Michael Elich: 20 to 25, it’s all, its more cycle time, this all work in progress.
Operator: We have a follow up question from the line of Jeff Martin with ROTH Capital Partners. Please go ahead.
Jeff Martin – ROTH Capital Partners: Thanks. Mike, could you touch on the workers comp environment right now, seeing any changes and severity rate, incident rate, that’s part of one of the question and then I have got another part?
Michael Elich: Actually knock on wood, this is something that you try never to spend too much on because you might injure himself. But we have seen a – on a relative basis 7% to 8% decrease in frequency year-over-year relative to the growth and everything we have. And from a severity rate we have not really spend any kind of uptick overtime as we have got better anything we are getting further and further out front of that. The work that we are doing within our clients as a higher percentage of our clients having no claims. And we are really focusing hard on anybody that’s having more than two claims in a year. We know that we knock that out and we continue to work with those customers and we will vest them out. That have more than 1 or 2 or 3 claims a year then we will continue to make progress in the area where we have the most pain. Related to some of the SB 863 legislation we are seeing where and we were told and projected to see where imbalance would probably be a little better off based on the nature of the type of claims we have over time, which just leads us to our most stability in our model as much of anything. So I would say in the last year we have made as much or more progress in the area workers comp is that we maybe had in the previous 25 years that we have been doing or we have been doing.
Jeff Martin – ROTH Capital Partners: And then do you – I mean do you think that SBA 863 put some of your competitors at a competitive disadvantage because perhaps [indiscernible] well capitalized and the SG perhaps being in that opportunity?
Michael Elich: You know, I hate to leave that little secret out. The reality of most of our competitors are built around the sales driven culture. The reality if you are going to be in a risk mitigation business, you better have an operational bench, you better have the temperament to be able to do to make hard decisions which is what it takes to do to a run an operations based organization and deliver the product that has the infrastructure that we have. I think this competitive disadvantage to our competitors that we’re long ways up front of them and we have a lot of visibility and they maybe trying to catch with what we are doing. But, you can’t evaluate a prosperity and we have a lot of years of doing what we do and continuing to be getting – coming deeper and deeper and tranche with the market and our customers and maturing our base then – our capital, you could probably come up with somebody that is going to grow up enough dollars to be able to make it work. But there is a secret thoughts and underlying everything that would be very, very difficult to replicate. I don’t know that I could replicate it again.
Jeff Martin – ROTH Capital Partners: Something you will see on the try. Could you, one other thing on workers comp, I know a couple of years ago, it might be going back three years, you are having some challenges that were more state legislative driven, headwinds in terms of closing out, claims cost is that abated, is it unchanged and so what you think is driven it?
Michael Elich: I think there were issues related to the state and legislation that I think that SB863 law change begins to address because it does tend to interrupt the cycle that the plaintiff’s, attorneys how and being able to keep in for a long claims and keep – and get claims at least, and it’s a little bit tighter box. We will see how they beat it up over time. I would also say though is that, we learned over time is that we needed to be better. And as we worked on areas of how we approach claims from day one to how [indiscernible] we are aligned from a client – from the supervisors to the client, to the branch to -- our GPAs and back into the system, all make a difference. So I don’t know there is anyone area that makes it better, but I think you moved all in areas and everything gets a little bit better. But, I do think, the SB863 impact will – we temporarily that’s one thing about California and in most areas. That you will make some progress, it’s just a matter of how much they left plaintiff’s attorneys come in and punch holes in the product because the thing is that its not for the betterment of the worker. It’s the challenges that the worker is not better off when the plaintiff’s attorneys come in and beat up the system. They are doing up for their own good. They are not doing it for the good of the worker or the workforce. And that becomes a major issue. The challenge over time and this is a bigger challenge to insurance in general across the country is that, as you look at where California has gone in the past, if you look at other state, other state aren’t moving towards making themselves better relative to what California is doing. They are actually making themselves more like California and that’s why you are continuing to see laws go more the direction of California. So I don't think this is going to be an issue that’s going to be long lived I think until, well, I don't know how and ever it really gets resolved. I think you just have to make sure that you don't make yourself part of the biggest issues.
Jeff Martin – ROTH Capital Partners: The short answer would be really hasn’t changed much in terms of ability to close them out in shorter duration but you’re optimistic that it will improve.
Michael Elich: Correct.
Jeff Martin – ROTH Capital Partners: Okay. And then could you and maybe this is a question for Jim, on the surety bond, I assume there will be some interest expense tied to that, could you give some a range or some guidance in terms of what the interest expense will be to that annualized once they are put in place?
James Miller: Yes. Actually there is -- the difference between going with the surety bonds and the existing letter of credit is very minor. I think it maybe on an annual basis, maybe 20 basis points and so it’s a very insignificant but will free up those dollars to be used perhaps in association of where we take our 863 solution. So, gives us much more flexibility.
Jeff Martin – ROTH Capital Partners: Okay, so basically 20 basis points on about $57 million?
James Miller: Yes.
Jeff Martin – ROTH Capital Partners: Okay. And then Mike, just wanted, I didn’t catch the percentage of client that increase hours with 38%?
Michael Elich: 50%.
Jeff Martin – ROTH Capital Partners: 50%, okay.
Michael Elich: Yes, 50% increased hours and if the trend has been up in 55% to 60% range, we see some seasonality usually get in October, I think it might be hit a little bit earlier whether it’s whether or whether it was just companies pulling back maybe project that were again pulled off, we’re not moving forward because of shutdown. And it’s hard to really put a finger on it. Originally, if you look to you went back to original ObamaCare impact to businesses was scheduled to picked up on October 1. And then there was a reprieve, I think a lot of companies still were on track to execute the plans that they had in place but it’s hard, yes, 50%.
Operator: Thank you. At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Elich for closing remarks. Please go ahead.
Michael Elich: Again, I appreciate everybody that continues to follow the story to take time to understand what it is, we’re trying to do. I always say that this isn’t a model it you can be taught, it’s the one that you have to learn by [indiscernible] and understanding it over time and as you do there is a lot of good things going on. So appreciate everybody being on the call. Look forward to speaking with you again in February. Thank you.
Operator: Ladies and gentlemen. This concludes the BBSI’s third quarter 2013 earnings conference call. Thank you for your participation.